Operator: Good morning and welcome to the Howard Hughes Corporation's Second Quarter 2020, Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note, that this event is being recorded. I would now like to turn the conference over to David Striph. Please go ahead sir.
David Striph: Good morning and welcome to the Howard Hughes Corporation's second quarter 2020 earnings call. With me today are Paul Layne, Chief Executive Officer; David O'Reilly, President and Chief Financial Officer; and Peter Riley, General Counsel. Before we begin, I would like to direct you to our website www.howardhughes.com, where you can download both our second quarter earnings press release and our supplemental package. The earnings release and supplemental package include reconciliations of non-GAAP financial measures that will be discussed today in relation to the most directly comparable GAAP financial measures. Certain statements made today that are not in the present tense, but that discuss the Company's expectations, are forward-looking statements within the meaning of the Federal Securities Laws. Although, the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that these expectations will be achieved. Please see the forward-looking statement disclaimer in our second quarter earnings press release and the Risk Factors in our SEC filings for factors that could cause material differences between forward-looking statements and actual results. We are not under any duty to update forward-looking statements, unless required by law. I will now turn the call over to our CEO, Paul Layne.
Paul Layne: Thank you, Dave, and thank you all for joining us today. Welcome to our second quarter 2020 earnings call. We hope you and your family is staying safe and healthy during this time. Before we discuss the quarter’s results, I’d first like to highlight a very important and positive change in our management structure. On June 25, I announced that our Chief Financial Officer, David O'Reilly would expand his duties and become President as well as CFO of the company. Since joining us in 2016, David has been an exceptional leader and mentor across the company and has been instrumental in unlocking value and driving results throughout our portfolio. I very much look forward to our continued partnership, David once again congratulations. I also want to thank our team members across the country for their dedication during these difficult circumstances over the past several months. They have all risen to meet the challenges of the situation both in their personal lives and at work. I am truly grateful to all of them. As always HHC remains unwavering our commitment to their safety and to the safety of all of our stakeholders. I would like to say a few words about race, multiculturalism and diversity at the Howard Hughes Corporation. As you know we have always had a zero tolerance policy towards any form of discrimination. We have always strived to be an inclusive workplace, but we do realize that there is much more that we can and will do. Companies can play a significant role in driving change, and we want to be the type of employer that is inclusive in every way. We have the opportunity to shift the beliefs that influence the complex social dynamic of race relations in the workplace with respect to diversity, equity and inclusion. We are beginning a process of reevaluating certain aspects of our internal culture and intend to report back to you on a regular basis, how we are doing in this regard. To begin this process, we have hired a DEI consultant, who is leading training sessions and workshops, dealing with race and racism to develop awareness and make improvements for all of our employees and stakeholders. I have joined approximately 1,000 other CEOs in signing the CEO action for diversity and inclusion pledge, which is the largest CEO driven business commitment to advance diversity and inclusion within the workplace. This group recognizes that organizational change begins at the executive level, and I'm proud to be part of this incredible group of leaders. Now, let's turn to the Company's performance during the second quarter. We saw the strength of our Master Planned Communities come shining through with strong residential land and new home sales. We also saw continued strength in condo sales at Ward Village. These areas of strength are very encouraging and are testament to the quality of our communities and to our company's diversified businesses. As expected, we experienced negative headwinds brought on by the pandemic in our operating assets segment, specifically in retail hospitality and in the Ballpark in Downtown Summerlin along with the closure of the Seaport District in New York. Despite these headwinds, we saw positive signs in retail and hospitality as the quarter progressed. We saw many of our retailers resuming operations and a corresponding increase in collections from April through June. Additionally, our hotels reopened and we're very close to breaking even in June and will likely turn a small profit in July. In our MPC segment, new home sales, which are a leading indicator of land sales, slowed in April due to the pandemic, but increased dramatically in May and continued this trend in June and July. For the first half of the year, new home sales across our MPCs totaled 1,248 only 3 less than the same period in 2019. We believe most of the increased activity experienced during May, June and July is a testament to the exceptional quality of life that residents are seeking in a post-COVID world including walkable communities in beautiful natural settings, with urban conveniences, outstanding amenities and expansive open green spaces. So speaking of quality, our MPCs continue to be recognized for some of the best places to live in the country. During the quarter, Niche.com released a list of the best places to live in America with Woodlands taking second place, and Columbia following closely behind as the seventh best city to live in America. Additionally, the Robert Charles Lesser Company a national real estate consultant recognized Summerlin and Bridgeland on their top 10 list of best selling Master Planned Communities through the first half of 2020. Summerlin was ranked fourth on the list and was the highest ranked MPC in Nevada. Bridgeland was ranked 10th on the list and was the highest ranked MPC in all of Texas. The second quarter of 2020 was actually the best quarter for home sales in Bridgeland’s history, selling 232 homes. In Summerlin, while home sales were down slightly for the first half, we have seen excellent activity during June and July and believe this is the beginning of a positive trend. During the quarter, our operating assets segment performance was bifurcated between the continued strength of our office and multifamily assets and the COVID related disruptions seen within hospitality, retail and the ballpark that I just mentioned. Despite a 32.4% decline in operating assets in a while compared to the second quarter of 2019, we remain optimistic about the segment’s recovery potential. Selections for multifamily and office remained steady during the quarter in the high 90% range and maintain this range through the end of July. Retail collections were 49.7% during the quarter. For the month of June collections were 59.5%, which while substantially lower than historic levels came in higher than 44% seen for the month of April when almost all retailers were closed. Retail collections during July were approximately 64%. When stay-at-home restrictions were lifted in May, we began reopening our hotels starting with the Woodlands Resort and conference center followed by the Embassy Suites in June and lastly the Westin in early July. In our strategic development segment, pre-sale activity at Victoria Place our latest project at Ward Village continue to progress and we are approximately 69% pre-sold as of July 28. Since beginning a web-only based marketing plan in mid-March, we have sold 21 homes at Ward Village totaling $35.1 million through July 28. This I believe is a testament to our resourceful and talented sales staff and marketing teams. They’re doing an incredible job in the neighborhood that we have created there. The two projects that are currently under construction are expected to be completed in late 2021 and 2022 and are well sold at 84% and 76%, respectively as of June. Please note that year-over-year revenues are not comparable in our strategic development segment, as we had condo tower deliveries in early 2019 and have not delivered any new condo towers in 2020. Phase 1 of reopening in New York City was implemented on June 8, allowing construction to resume at the Seaport District. Our assets in the Seaport remain closed, but we anticipate a gradual reopening of a few select businesses, including the Pier 17 Rooftop over the course of the next several weeks. Despite these unprecedented circumstances, we continue to aggressively pursue potential tenants for our vacant space and remain focused on the long-term vision at the Seaport. Moving on to an update of our Transformation Plan, which as you may recall was officially announced this past October. We've made substantial progress with the first pillar of reducing annualized G&A expenses by $45 million to $50 million, with the remainder of savings to be realized once we transition our corporate office from Dallas to the Woodlands later this year. The second pillar was committing to selling approximately $2 billion gross of non-core assets, generating approximately $600 million of net proceeds. So far, we have realized the sale of six non-core assets generating approximately $132 million in net proceeds. Today, this represents 22% of our original goal announced in the Transformation Plan. Given the state of the current market environment, the timing has been delayed, but we remain vigilant in finding the right buyers and maximizing the proceeds from these assets. The final pillar was to decentralize our operating model, allowing us to concentrate growth and value creation within our core assets. Although we do not expect any new construction starts within our communities in the next quarter or two, we have restarted modest investments in pre-development work, so that we are ready to move forward the minute that the demand returns. As you can see, there has been significant progress made on our Transformation Plan since it was announced in October. And we believe that it has strengthened our defensive financial profile given our many stakeholders additional confidence in us and help insulate ourselves from the market's fluctuations. And with that, I would like to now turn the call over to our President and CFO, David O'Reilly.
David O'Reilly: Thank you, Paul, and good morning everyone. I'm going to start with a review of each of our operating segments performance during the quarter, and then turn to our financial results and balance sheet. With quarterly NOI of $40.8 million, our operating asset saw a decrease of 32.4% when compared to the second quarter of 2019 and 36.1% compared to the first quarter of 2020. As Paul mentioned, the decrease in NOI was largely driven by hospitality, retail and the Las Vegas Ballpark as a result of the pandemic. Hospitality NOI dropped by $11.4 million or 119% compared to the same quarter in 2019, as all three hotels in the Woodlands were forced to shutter for all and part of the quarter. We were able to begin to slowly reopen starting with a Woodland Resort and conference center in May. As of the end of June, we were able to bring 54% of our rooms back into service. We then opened the Embassy Suites in June were 100% of our rooms were available at the end of the quarter. In early July, we reopened the Westin. Given the increased activity seen within our hotels, we were very close to breakeven in June from an NOI perspective and expect to turn a small profit in July which shows the progress made by our dedicated hospitality team over the last few months. Retail NOI decreased $16.1 million in the second quarter of 2019 to $8.6 million in the second quarter of 2020 a 46% drop. Many of our retail tenants began to open and see increased activity in the back half of the quarter which translated into a collection rate of 59.5% for the month of June, noticeably higher than the 44% collection rates seen for the month of April. While many of our retail tenants were able to seek help through the government's PPP program, it is still been very challenging time for them. As we said last quarter, we have actively engaged with all of our tenants, and particularly with our small business local tenants who need assistance the most, where our help in the form of rent deferrals can make a real difference in their ability to survive. We are cautiously optimistic that we will see increased collections similar to that of June as the economy continues to reopen in most states. Multifamily NOI was down $1 million, 21% when compared to the second quarter of 2019. Our multifamily assets continue to see stable collections of 97% due to the high quality profile of the tenants were drawn to our well located newly constructed exceptional assets. The reduction in NOI was partially due to real estate tax increases on our newly constructed assets, which were appealing and an increase in concessions in the Houston market. During the quarter one of our newly completed assets [two lake sides] in the Woodlands was moved from the strategic development segment into operating assets, where we expect to generate approximately $8.5 million of stabilized NOI representing a 8% yield on cost. This is a prime example of how continuous reinvestment in our MPCs will drive outsized growth and create value for years to come. Lastly, our second quarter of 2020 office NOI increased by $7.6 million or 38% over the same period in 2019. This was in large part due to the acquisition of the Woodlands Towers this past December. Excluding the Woodlands Towers our office NOI was still higher by 7% when compared to the same period last year. Similar to multifamily collections from our office tenants remain in the mid to upper 90s as a result of the high credit quality of our tenants. Two operating assets to know would be the Las Vegas Ballpark in downtown Summerlin and the outlet collection at Riverwalk in New Orleans. On June 30, Minor League Baseball officially announced that there will be no season for 2020. The cancellation of this season will obviously have a material impact in the ballpark, which generates roughly $8 million in annualized NOI. With the cancellation of the season, we now expect the ballpark to reflect a loss of roughly $1.5 million in NOI excluding refunds for the remaining six months of the year. It may also have a negative impact on the retail in downtown Summerlin, the fans who are attending these games, shop in our retail stores and eat at our restaurants on game days. Additionally, the outlet collection at Riverwalk’s NOI was lowered by 87% compared to the same period in 2019. It continues to be impacted by the coronavirus as a majority of the foot traffic is driven by the tourism industry. Due to its location, Riverwalk is mostly visited by shoppers from the cruise ship port. Since the cruise industry was abruptly stopped due to the pandemic activity has declined accordingly. In light of these events, you may recall that we took a $48.7 million impairment charge last quarter. The CDC has just extended the band on cruise ships sailing through the U.S. through September 30. But the property is reopened with approximately 86% of our tenants open for business. Moving on to the MPC segment. Land sales were down a better than expected 19% during the second quarter with 91 residential acres selling during the period compared to 112 acres in the second quarter of 2019. However, sequentially land sales increased by almost 60% from the first quarter were 56.5 acres were sold. As Paul mentioned in his opening remarks, new home sales a leading indicator of land sales dropped considerably in April as a result of the stay-at-home orders, but experienced a large uptick in May, June and July as local economies began to reopen. Bridgeland continues to outperform even in the midst of a pandemic setting an all time high of 112 new homes sold in May a 78% increase compared to May of 2019. As we've mentioned, this is an excellent indicator of future demand for our land. For the quarter new home sales totaled 232 compared to 215 for the second quarter of 2019 an 8% increase. For the first six months of the year, there were 425 new home sales compared to 351 for the same period of 2019 a 21% increase. Land sales of Bridgeland totaled 38.4 acres for the quarter compared to 40.7 acres in the second quarter of 2019. Price per acre increased from $404,000 in the second quarter of ‘19 to $429,000 in the second quarter of 2020. We are pleased with Bridgeland’s performance. Due to lower super pad sales, some of them reported a small decrease in land revenue from $29.7 million in the second quarter of 2019 to $.3 million this quarter. New home sales for the quarter were down from 365 in Q2, 2019 to 233 this quarter. Year-to-date, new home sales are only down 7.5% and we've seen excellent activity through June and July, which is very encouraging. When we look at the totality of new home sales throughout our regions, we had total volume of 1,248 homes sold during the first half of the year, only three less than the first half of last year at 1,251 homes. As we've said in the past, we are a price maker on our MPCs and only sell land to meet current demand based on underlying home sales, which appears to be increasing. Demand continues to be stronger than expected for new home sales. And we attribute a great deal of this to the unique nature of our communities, their incredible amenities and wide open spaces, which is more important to buyers than ever at this point-in-time. EBT was down $6.5 million or 13% for the quarter compared to the same period in 2019, largely due to a $3 million loss from equity and earnings at the Summit. The quarterly loss at the Summit was primarily attributed to lower custom lot sales, higher unit completion costs, and lower land sales revenue all of which were impacted by COVID-19. Sequentially EBT was down 4% compared to the first quarter of 2020. This is largely due to the stay-at-home orders enacted by local governments in April. Turning to our strategic development segment, we continue to make progress on our two buildings under construction in Ward Village Anaha, Waiea and Ke Kilohana, which are expected to be completed in late 2021 and 2022. These projects are on time and on budget and are well sold 84% and 76% respectively as of June 30. These sales all have hard deposits for buyers. Our latest project began sales Victoria Place is progressing well with 69% of the unit's pre-sold as of July 28. Excluding Victoria Place as of June 30, we are 90.3% either closed or under contract on the other six projects either under construction or completed and the neighborhood that we have created is unlike anything else in the islands. I would like to note that we reduce the sales prices on certain remaining larger condo units over $4 million at Waiea and Anaha to better align with current market values in recent sales. This resulted in a $5.1 million loss reflected in condo rights and unit costs to sales. Finally, let's take a look at the Seaport. The Seaport District was significantly impacted by COVID-19 as New York City was one of the hardest hit areas in the country. This resulted in an abrupt stop to construction at the 10 building and caused our tenants in JV on businesses to close their stores. Construction was able to resume recently, but our assets at the Seaport remain closed. We do, however, anticipate a reopening for a select number of businesses in the District over the next several weeks. Further, we had to postpone our summer concert series on the Rooftop of Pier 17 until 2021. The revenue and sponsorship of this series has been a meaningful contributor to our revenue. The shutdown during the quarter was reflected in our quarterly revenue of only $2.7 million down from $11.4 million in the second quarter of 2019. Operating Expenses followed suit declining from $14.3million in Q2, 2019 to $6.1 million this quarter bringing our NOI to a loss of $3.7 million for the quarter compared to $2.9 million loss for the same period of 2019. In July, the Seaport entered into management agreements with a Creative Culinary Management Company to manage and operate the food and beverage operations at the Fulton, our 17 Cobble & Co. and Malibu Farm. By bringing on Creative Culinary these industry experts will ensure that our restaurants are running efficiently. On July 16, we sold our 35% equity stake in [indiscernible] Seaport for $750,000 and record an impairment charge of $6 million. The 66 room boutique hotel located in close proximity to the Seaport was severely impacted by the coronavirus as occupancy levels plummeted. The sales in line with our stated plan to sell non-core assets. As construction on the Tin Building has resumed and we anticipate the reopening of select businesses in the area. Our long-term vision for the Seaport has not changed and we believe that once complete, the Seaport will be one of the premier districts in Manhattan. I would also like to note that on June 29, we entered into a termination of a Participation Agreement regarding the previous sale of a property in West Windsor, New Jersey. We originally sold the property for $40 million, plus a future profit participation. The participation was making it difficult for the buyer to raise equity, so they bought us out early. The $8 million payment reflects the projected value of that profit participation. Taking a look at GAAP earnings, we completed the second quarter with a net loss of $34.1 million or $0.61 per diluted share compared to earnings of $13.59 million or $0.31 per diluted share for the same period last year. The large reduction in earnings between quarters is based on both the impact the coronavirus pandemic has had on our operating assets, MPC and Seaport District segments. And the fact that we close on a portion of the IO condo tower in 2019 and have not delivered any mixed use projects this year in our strategic development cycle. NAREIT redefined FFO was $0.22 cents per diluted share for the quarter as compared to $1.19 for the second quarter of 2019. I would now like to take a look at the liability side of the balance sheet to provide some detail around our debt. As of the end of the quarter, we had approximately $4.4 billion in total debt, of which approximately $2.5 billion is floating rate. Of that amount $705 million has been swapped effects and an additional $271 million is subject to an interest rate color. That leaves approximately $1.6 billion on hedged. Most of this debt is associated with our Woodlands towers’ bridge facility construction loans including 110 North Wacker and our downtown Summerlin mortgage ONE. In terms of maturity profile, we have approximately $61 million of debt maturing in 2020 on our three U.S. landing office building, which is approximately 89% leased and which we are working currently on the refinancing. Maturing in 2021 four loans totaling just under $341 million, the largest component is 1201 Lake Robbins, which is fully leased to Occidental Petroleum. Moving on to financing activity during the quarter, on June 22, we modified the existing downtown Summerlin extending the financing by three years to June 2023 at LIBOR plus 2.15%, in exchange for a pay down of $33.8 million to a total commitment of $221.5 million. On May 20, we extended the remaining $218.3 million Bridgeland for the Woodland towers’ and the Woodlands warehouse. For six months at LIBOR plus 2.35% with an option for an additional six month extension at LIBOR plus 2.9% extending the final maturity to June 2021. As of the end of the second quarter, our total consolidated debt to total assets was approximately 48%. And our net debt to enterprise value was 48.4% at the end of the quarter. From a liquidity perspective we finished the quarter with $931 million of cash on hand. As you can see from the projects under construction and the table provided under the results of operation in our 10-Q, we have a net equity requirement of $315 million giving us more than enough liquidity to meet all of our current funding commitments. I'll now turn the call back over to Paul for some closing remarks.
Paul Layne: Thank you, David. While the company has clearly been affected by the pandemic, I am confident in our incredible assets and our businesses and our people. While there is still uncertainty in the economy, we are in extremely fortunate position at Howard Hughes. We have irreplaceable assets and locations where people want to live, work and shop. These communities provide safety, security, incredible amenities and wide open spaces. We have a self-funding business model that is unique in our public markets and a diversified income stream with a solid balance sheet and as we have said more than $930 million of cash on hand. During the year, we've prepared for this set of circumstances in a very prudent manner. We have raised equity, we have substantially cut overhead and streamlined our business. All of these things have helped prepare us for this moment and they have ensured that we will have the ability to harvest the value embedded in our core assets over the long-term. We will now turn to the Q&A section of the call. The first few questions we will answer have been generated by say technology and will be read by Dave Striph. Dave can you please read the first question?
A - Dave Striph: Yes, Paul. The first question is, do you have plans to expand the Master Planned Communities to other states?
Paul Layne: Thanks, Dave. We are always looking for opportunities that generate the best risk adjusted returns for our shareholders. But it is very difficult to find land in the size range that we want with the close proximity to large cities and major infrastructure. We really believe the best opportunities to deploy capital at the highest risk adjusted returns reside within our existing core assets or Master Planned Communities as we have stated in our Transformation Plan, which we rolled out last October.
Dave Striph: Thanks, Paul. The next question is, is there a plan to convert to a REIT or will you retain the current structure?
Paul Layne: Dave, I’m happy to take that one, and Bobby appreciate the question and participating in the [say technologies] [ph]. I can tell you today as of today, we have no plans to convert and that is candidly a result of a cost benefit analysis of a reconversion. The potential benefit would be that we could save taxes on just operating assets segment of our company is that -- those are the assets that are re-eligible. But with a meaningful tax shield in the form of our net operating losses that should last us at least until 2022 that benefit is largely muted. And as a consideration, we really value our ability to self fund our development pipeline using the free cash flow of our operating assets MPC land sales and condominium profits. And reconversion would force us to dividend out a meaningful portion of that free cash flow limiting our ability to self-fund our development pipeline. So I think today and this is something that we will continue to evaluate over the coming years into the future, as the makeup of our portfolio shifts and our net operating losses become exhausted. But as of today, there's no plans to convert.
Dave Striph: Thanks, David. All right, the next question also comes from Bobby. Have you thought about converting your condo buildings into apartment buildings?
Paul Layne: Yes, thank you for the question. We've looked at the rental concept many times in Honolulu, but the math really doesn't work for us. We would be competing with the individuals who buy our condos and put them into the rental pool with little or no return, condos by far and away are the best return on our capital in Honolulu. Next call.
Dave Striph: Next one is from [indiscernible] Capital. Any chance share repurchase can get approved and accelerated while stock prices are at current levels?
David O'Reilly: Another great question and I appreciate it. In March, when we raise equity, we raised it, planning for the worst and hoping for the best and I think as we talked about in the prepared remarks earlier, we are far from the worst. And we saw some great spots in the portfolio in terms of continued strength of land sales, office performance, multifamily performance, Ward Village, et cetera. I would say that I'm not convinced entirely given where this country is in light of the COVID-19 that we're entirely out of the woods. And I don't feel such certainty that our excess liquidity right now should be used for share repurchases today, again, we're always going to evaluate the best capital allocation decisions for the company and whether that’s share buybacks, new investments, potential new developments or just maintaining excess liquidity to make sure that we can make it through this pandemic. So all that's always on the table, but as we sit here today, I take a lot of comfort in having the liquidity that we have the knowing that we will absolutely be able to get to the other side of this pandemic. And hopefully this strength that we saw in 2Q continues in 3Q and 4Q and we don't have to worry about a second wave or any sort of reversion in the financial results. But until we know that for sure, I can't imagine using up too much of our excess liquidity for share repurchases.
Dave Striph: Thanks, David. Next question comes from [indiscernible]. What are the greatest reinvestment opportunities over the next two to three years?
Paul Layne: Thanks, Bill. It's a great question. As I mentioned before, we believe redeploying capital back into our core assets, provide the greatest risk adjusted returns for our shareholders. We had laid this out in our Transformation Plan and we feel very strongly about this. We are aggressively looking in our MPCs for new medical development, similar to what we did in the Woodlands for MD Anderson, and other build to suite office opportunities, pushing hard in our recruitment efforts for all types of users to our MPCs, which – our MPCs provide outstanding wide open spaces, as well as amenity rich, walkable urban cores. As David stated, in our prepared remarks, a prime example of reinventing our core asset is [indiscernible], one of our newly completed multifamily assets in the Woodlands; total investment of approximately $108 million. We expect this asset to generate $8.5 million annualized NOI over the next few years representing an 8% return on an asset that should be valued in the 4.5% cap rate range.
Dave Striph: Thanks, Paul. Another question from [Bill Hammer] [ph], what is the status of selling your interest in 110 North Wacker?
Paul Layne: We are so pleased with 110 North Wacker, it is opening in October and coming in on-time and on-budget. The building is currently 74% pre-leased to credit tenants. We firmly believe that once complete this building should sell for a premium. Thank you.
Dave Striph: All right, next question. How do you plan on making the company easier to understand and therefore value overtime? And how do we get more analysts to cover HHC?
David O'Reilly: This is something that we talk about all the time Dave, and I'm happy to handle this question. Look, obviously, Howard Hughes is a unique company without any direct peers or comps. And there's always going to be some inherent challenges in trying to simplify a more complicated company. But at the end of the day, we think that when you distill the pieces of what we do, which is using our free cash flow to self-fund, outsize risk adjusted return development opportunities in our core MPCs where we have meaningful competitive advantages it's not as complicated as it can seem at first. We've worked hard to make things more simplified and provided our detailed supplemental package that really provides a roadmap to calculating NAV of the company. And aside from us providing discount rates and cap rates, everything is there to value this company. And in terms of increasing the number of analysts, we're working hard to increase the number of analysts. And we believe that the recent equity offering that we did in March should lead to some increased coverage that will hopefully pick up by the end of this year.
Dave Striph: Thanks, David. One last question [indiscernible] at what capacity would it makes sense for restaurants at the Seaport to reopen?
Paul Layne: As we discussed in the prepared remarks, we're going to have some limited openings that have really started already and will continue to roll out over the coming weeks and months, but there is no single answer since our restaurants all vary in size, dining spaces, outdoor seating, capacity, pricing and so forth. We're going to continue to evaluate on a case-by-case basis when reopening venues makes sense based on market demand. Candidly, as we continue to reopen, we are so excited about the new relationship with creative culinary. They're going to lend their market expertise during this reopening process. And this new management structure is not only going to elevate the customer experience, but it's also going to put our restaurants in the best position for success coming out of this pandemic. Creative culinary was going to be responsible for employment supervision of all employees, day-to-day operations, accounting, food and beverage operations, setting menus, all those critical items when they really hold the expertise. And we're so excited about this new relationship.
Operator: [Operator Instructions] And our first question will come from Vahid Khorsand of BWS Financial. Please go ahead.
Vahid Khorsand: Hi, it's actually Vahid. Quick question. Thank you for taking the question this morning. I have three questions. Probably all three quick first starting in Summerlin. I think it's turning out better than you guys had expected from Q1. But was wondering these landfills you're getting now? Is that something where they're in smaller block orders meaning are they putting in orders for a smaller size of acreage than before? Is there any hesitation in the home builders and taking on the same acreage as before?
Paul Layne: Thank you for the question. This is Paul Layne. The tracks of land are super pads in Summerlin that are selling, are generally the same pads that have been planned to sell as part of the master plan. David, anything to add there?
David O'Reilly: Yes, I would say, obviously we're excited about the number of underlying home sales and that homesale demand and transaction volume continues to keep our homebuilding partners very interested in the same tracts of land that we had anticipated selling. We're not shrinking super pads, we're not going back to selling lots. We’re really progressing along the same business plan. And we see that demand from our homebuilding partners and we're excited that we believe we're going to continue to be able to execute it really strong levels in both number of acres and price per acre through the remaining six months of the year.
Vahid Khorsand: Thank you. And then, going over to work. Sorry. Go ahead.
Paul Layne: Just to follow up on that. I mean, when you look at Summerlin, downtown Summerlin and how it has affected the demand for home sales. It's very exciting. The ballpark, the hockey practice facility. The retail, we announced Monday that 11 new retailers coming into downtown Summerlin totaling 35,000 feet including the anthropology. So the amenity base continues to expand driving home sales which drives the direct corollary to super pad sales. Thank you.
Vahid Khorsand: And then just jumping over to Ward Village. Just a real quick question. I know you said Victoria places 69% pre sold. I didn't see a construction date. When do you anticipate breaking ground on that?
Paul Layne: Sure. Great question. We depending on construction, financing availability, we plan to break ground early of next year. In addition to that being, that property being very well pre-sold seven, all seven of our Ward Village towers are 88% of the units are sold, it’s pretty phenomenal.
Vahid Khorsand: And if you allow me, one more question. On seaport, I know in the past, we've talked about it being mostly the restaurants and entertainment venues being operated by yourselves. Given the current COVID environment is, is there an opportunity to? Are you imagining that it's going to be more Howard Hughes owned and operated entertainment restaurant venues, or is the retail and entertainment segment there still -- is it strong enough to allow outside operators?
Paul Layne: Let me start, and I'll turn it over David. But we, we believe that and we have some things in the works that we're excited about that would be outside operators that would sign leases. We also in addition to retail, we have some of the best office space with incredible views available that CBRE is marketing for us. And we are, as we come out of this pandemic, we are optimistic about the leasing of that office space as well, David?
David O'Reilly: I think that the view before and after pandemic hasn't shifted much, and that we are very much focused on bringing in the best-in-class operators of restaurants across the board, and to be able to execute on transactions to John George, David Chang, Andrew Carmellini. Elena Anderson has been tremendous. And we're just really looking forward to the day when we get all those venues open and operating capacity on the other side of this pandemic that can really demonstrate how strong that seaport will be.
Vahid Khorsand: Thank you very much.
David O'Reilly: Thank you.
Operator: Our next question will come from Alex Barron with Housing Research Center. Please go ahead.
Alex Barron: Yes, thank you guys. And sounds like things are making some progress. I wanted to ask about downtown Summerlin seems like the NOI took a bit of a step back. Was there anything of a one-time nature there or is that kind of the run rate we should expect going forward?
David O'Reilly: Well, the town Summerlin, Alex, yes, it really impacted by the retail tendency. And when we had stay at home orders in March and April, most of those retail tenants had to close and they weren't able to operate only a handful were actually to continue able to continue doing business, whether they were grocers like our Trader Joe's. We're doing takeout curbside pickup for some of our restaurants. As a result, a lot of our smaller local tenants there needed some help to make sure that they can survive this pandemic. And we worked with all of them really focused on doing rent deferrals. In some instances, we were -- we did abate modest amounts of rent. But as a result of all those closures and our collections falling to 44%, as we noted in our prepared remarks, that NOI was obviously impacted. Now, as we did note, our collections and retail did increase from April to June, and then even more from June to July. That should translate into a recovery in that NOI over time. That's not to say that we're going to go back to 4Q 2019, run rate NOI next quarter. But I think you should expect the next several quarters a gradual growth in that NOI to get back towards a stabilized level. As Paul noted, answering your previous question, we signed a tremendous number of leases, brought in some new great retailers. And those as those bases get built out and tenants move in, that should also contribute to that growing NOI getting us back to a run rate level more consistent with a stabilized target.
Paul Layne: So, Alex…
Alex Barron: Yes, go ahead.
Paul Layne: Sorry. Just to follow up so Summerlin retail collections in July, it increased as David referenced, up to 66%. The lowest in in April was in the 20s. So we've had a strong increase in collections. We have a very -- as a company, during the pandemic, we have focused on collections and driving new business and velocity of tours in our apartments etcetera. We’ve gone back to the basics, and our team collecting rents and making the solid relationships and building trust with our tenants from Hawaii to New York has really been strong, really proud of them. And I think it shows in the percentages of collections just like in Summerlin.
Alex Barron: Yes, just wanted to add a quick follow up on the same topic. If you'll still allow me another question. So how does the rent deferral work? I mean, it's not a rent forgiveness is it? Is it just that made with when they get back up on their feet a year from now whatever, they'll owe you? Well, they'll pay you back what they didn't pay now. Is that how it works?
Paul Layne: We -- we tried to treat every single one of our tenants, Summerlin has over 120 retailers, but we have over six 700 retailers across the country. We tried to treat each of them individually as a special understanding as possible and build that trust with our retailers. Generally speaking, we have done modest deferments of a month or two where they would pay back the deferred rent over, it depends on the tenant, but generally you're right, over a year or so. And that combined with most of our tenants, taking advantage of the PPP plan. It has helped in about a four month assistance.
Alex Barron: Okay, great. And then I wanted to switch to the MPC land sales. I heard you guys give us the home sales for -- I'm sorry for Bridgeland. But I was wondering if you had what those numbers were for the other three MPCs? And also whether you would consider disclosing the actual either acres sold, or dollars made, in each of the MPCs. I think from a modeling perspective, it would be very helpful.
Paul Layne: David, you want to take that?
David O'Reilly: Yes, sure. And the acre sold and the price per acres sold in each community is highlighted on page 22 of our supplemental. So that information hopefully, you can download that supplemental off the investor relations tab on our website, and you'll be able to see exactly what sold from both the residential and commercial acre price per acre etc. From a underlying home sales perspective, obviously Bridgeland was a shining star. But we also talked about the other most material aspect of our home sales, which is in Summerlin, which near to date, we, as we said in the prepared remarks were down only 7.5%. And we've seen a pickup in Summerlin in June and July, which is really encouraging. So we're hopeful that we'll be the eagle to even further close that gap as the year progresses.
Alex Barron: Okay, I do see the details in the supplemental. I had missed that. So sorry about that. Thank you.
David O'Reilly: Thank you, Alex. Always great talking to you.
Operator: And our next question will come from Jon Peterson with Jeffries. Please go ahead.
Jon Peterson: Great, thanks. A couple questions here. One, maybe you guys have already addressed this, but in terms of the retail. I'm curious if you guys have a breakout of national chain versus small business [Indiscernible] like what? What percent of your retail portfolio is made up of each type of tenant?
Paul Layne: David, do you have that handy?
David O'Reilly: We don't disclose that information. I would say that it varies meaningfully across our properties. And our three major retail properties are Downtown Summerlin, where we have a very good mix between national tenancy and local tenancy closer to 50:50. Ward Village where we have more local tenants than national tenants. And then on a much smaller scale is a outlet collection of Riverwalk where we are predominantly national tenants. But, the exact details and the exact percentages we haven't disclosed, so we don't have that level of detail within the retail portfolio within the supplemental.
Jon Peterson: Okay. All right. Thanks. And, maybe just more of a higher level strategy questions. So you guys did the equity offering. You're sitting on a lot of cash right now. Interestingly, this recession seems like one where home sales might remain actually pretty strong, which is the exact opposite of what we saw in the global financial crisis. However, you mentioned in your earnings release, that you're not starting any new development, which also makes sense, because you probably wouldn't want to be developing multifamily or office right now in this environment. So if we kind of fast forward a few quarters or a year plus, it seems like we could be in a scenario where you've done a lot of home land sales, and or generate a lot of cash, but don't really have development to pour that cash into. So I guess first of all, is that kind of in line with how you're thinking so far, understanding that we are very early in this recession? And what do you do in terms of a corporate strategy when you're sitting on so much cash and maybe lack, near term investment opportunities?
Paul Layne: Let me start with that, and I'll turn it over to David. But what, what we did say just to qualify on development, there are pockets of opportunity that we see not starting next quarter or maybe even not the quarter after. But in locations like Columbia and Bridgeland for multifamily, and multifamily in Columbia and possibly even in Summerlin, multifamily, we see solid leasing and the rents have been, the last, two months 45 days have been surprisingly strong. I think the flight to quality in those locations for AAA quality multifamily may prove out that the potential for development could be there. So I mean, there's certain pockets that we are very excited about, in addition to our home sales in our MPCs. David over to you.
David O'Reilly: Look, we should be so blessed with the problem having too much free cash flow and not enough places to use it in terms of new developments, Jon. And then we can really focus on other capital allocation decisions, whether it's external growth, dividend share, buybacks, etc, all of those areas of capital allocation that we think will generate the highest returns for our shareholders. That's where that capital will go. We are, as Paul said, optimistic that, I don't think we'll be in a spot where there won't be any new developments. I think we see some very limited pockets where there is demand. We're seeing that demand increase, and as long as that continues over the next several quarters, there will be a need for incremental opportunities within our MPCs.
Jon Peterson: Got it? Yes, I understand. It's a high class problem to have. But, I guess…
David O'Reilly: Especially after March.
Jon Peterson: Yes, exactly. No, I certainly appreciate that. I guess if the investment and I appreciate what you said, but, I guess if the investment opportunities, aren't there and your existing MPCs, I mean, is it an opportunity to make an investment in a new market? Or is that capital better distributed held on to for your 15 MPCs? Or maybe, I know, you just issued equity, but at some point do you consider share buybacks?
Paul Layne: Yes, look as I mentioned. Sorry, David, as I mentioned earlier. I mean we always are looking at opportunities. Not only within our MPCs, which we truly are focused on, but, we see deals all the time. They're just really hard to make any sense. And so our true focus is in our MPCs. But like the Woodlands for instance, when you have 28,000 acres of potential of Summerlin at 22,000 acres. And there's all different types of products that are available. We are looking at lots of different opportunities. As I mentioned earlier, we're focused on medical right now, as well as office build-to-suits. The idea that we're seeing across the country of what America wants is wide open spaces in a walkable, urban, but in a non-super dense location. I think it's only logical that office companies will follow and want their employees to live in our type of Master Planned Communities. And I'm, we're trying to find companies that want to move to our Master Planned Communities. Like we've done our build-to-suits in Woodlands and Summerlin, we can build quickly and at great prices.
Jon Peterson: Great. I appreciate the color. Thanks, guys.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Paul Layne for any closing remarks. Please go ahead.
Paul Layne: Thank you very much. And I'd like to thank everyone for joining us today. Be safe, wear your mask. And we appreciate you being here. Take care.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect